Operator: 00:04 Good afternoon, and welcome everyone to Ouster’s First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After today's presentation and remarks, there will be an opportunity to ask questions. [Operator Instructions] The call today is being recorded. And a replay of the call will be available on the Ouster Investor Relations website an hour after the completion of this call.  00:37 I'd now like to turn the conference over to Sarah Ewing, Director of Investor Relations. Please go ahead.
Sarah Ewing: 00:46 Thank you. I'm joined today by Ouster ‘s Chief Executive Officer Angus Pacala and Chief Financial Officer, Anna Brunelle.  00:54 Before we begin the prepared remarks, we would like to remind you that Ouster issued a press release announcing its first quarter financial results shortly after market close today. The company also published an investor presentation which is available on the Investor Relations section of ouster.com. I'd also like to remind everyone that during the course of this conference call Ouster's management will discuss forecasts, targets and other forward-looking statements regarding the company, including statements from its press release, future customer orders and shipments, near and long-term revenue opportunity, market share trends, future products and commercial path, potential future opportunities customer traction, winning an OEM program and the company's business outlook and 2022 guidance and trajectory that are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 for forward-looking statements. While these statements represent management's expected future results and performance Ouster's actual results are subject to many risks and uncertainties that could cause actual results to differ materially from current expectations that we may share with you today.  02:01 In addition to any risks highlighted during this call, you should consider the important risk factors and other disclosures that may affect Ouster's future results as described in its most recent annual report on Form 10-K and its other filings with the SEC. Except as required by law, rule or regulation, the company undertakes no obligation to update any of these forward-looking statements for any reason after the date of this call. 02:25 Information discussed on this call concerning the company's industry, competitive position and the markets in which it operates is based on information from independent industry and research organizations, other third-party sources and management estimates. Management estimates are derived from publicly available information released by independent industry analysts and other third-party sources, as well as data from the company’s internal research, and are based on assumptions and computations made upon reviewing such data and its experience in and knowledge of such industry and market. By definition assumptions are subject to uncertainty and risk which could causes results to differ materially from those expressed in the estimates. 03:09 During this call, we may discuss certain non-GAAP financial measures, which exclude the effects and events and transactions we consider to be outside of our core operations. These non-GAAP measures should be considered as supplement to and not a substitute for measures prepared in accordance with GAAP. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures, please refer to today’s press release.  03:34 I would now like to turn the call over to our Chief Executive Officer, Angus Pacala.
Angus Pacala: 03:38 Hi, everyone. Following the breakout year in 2021 Ouster continue to bolster its strong position in the market in the first quarter. We maintained positive gross margins, introduced new solutions, delivered on major automotive milestones along our product roadmap and with our strategic OEM partner. We believe these developments will act as catalyst for growth in each of our target industries and to further improve our position in the marketplace.  04:04 At Ouster Automotive we are pursuing a hardware first strategy, focused on winning the multi-billion dollar opportunity to supply lighter hardware into consumer vehicles through the superior price and performance of digital lidar. 04:18 Ouster Automotive announced the Digital Flash or DF series for automotive last fall. The industry's first multi sensor suite of short, medium and long-range solid-state lidars for comprehensive coverage around the vehicle. Just like Ouster’s OS scanning centers and market today, the Digital Flash Series is powered by a single silicon CMOS chip, enabling us to scale performance in line with Moore's Law unlike any other lidar company, while simultaneously dropping cost and complexity. We continue to track towards automotive readiness for our DS Series to support automotive programs starting production in 2025.  04:58 In the first quarter, we announced the Chronos chip, a automotive grade fully custom digital lidar system-on-chip that will power our DS solid-state sensor suite. The Chronos chip is the foundation of the DF architecture and will enable us to deliver more performance, power-efficient and compact sensors to automotive series production programs. We also shipped the first DF A-Sample sensors, delivering on a major milestone in our strategic development agreement with our global automotive OEM partner. 05:28 The plan to present the upgraded A-Sample to over 30 additional auto OEMs, Tier 1s and EV companies in order to unlock new commercial opportunities and progress to the next round of discussions with those already in motion. The A-Sample is another step on the path to achieving more consumers and automakers alike are pushing for vehicles with safe, convenient and reliable autonomy features that they can trust with their lives. Lidar is the bridge from driver assistance to true autonomy, and digital lidar goes further to make these systems more feature rich and affordable for everyone. With no moving parts, Ouster’s DF Series is the first solid-state Digital Flash lidar on the market. By absorbing the system complexity into the Cronos chip, Ouster’s suite of short, medium and long-range DS sensors offers automakers greater affordability and flexibility in vehicle design and coverage. Ouster automotive can offer a total of up to five DF sensors for roughly $1,000, a lower price and smaller overall size than the single forward-looking analog lidar offered by some of our competitors. 06:36 This price and form factor advantage extends the single sensor RFQs as well. By being small and affordable, a fleet of DF sensors can be integrated around the vehicle, just like digital cameras to provide 360 degree awareness and a rich set of safe autonomy features. Short, medium and long-range lidar's looking to the front side and behind the vehicle provide the critical data necessary for state automated lane changes, confidence maneuvering through four way intersections, reliable high speed mergers and so much more.  07:10 A vehicle powered by a single forward looking lidar cannot even navigate a four way intersection without driver oversight. Put simply, multi sensor digital lidar suites are the bridge from driver assistance to safe affordable autonomy.  07:26 Turning away from automotive into smart infrastructure. Our team was excited to announce the launch of the Ouster accurate vision security solution this past quarter. Ouster accurate vision is a joint security solution that combines Ouster’s 3D digital lidar with industry-leading security software from Tacticaware, a Hexagon company to target the multibillion-dollar security market. 07:50 Nearly every high value piece of infrastructure has a security system in place from industrial sites and high value warehouses, to airports, military and defense buildings and data centers. Today, this market is dominated by CCTV cameras and thermal cameras that possibly recorded the event fully around them. 3D lidar based systems are paradigm shift, because they can generate active alerts in real time, while providing all of the passible recording capability of legacy technology. We see a massive opportunity to disrupt this market with our Ouster accurate vision digital lidar security solution.  08:29 Turning to other product updates. We remain on track to release the L3 chip later this year, which will succeed the L2X chip empowering all of our OS sensors. The L3 chip is the culmination of years of R&D inside Ouster, and keeps us on the exponential performance path of Moore's Law. The improvement provided by this fully custom and proprietary chip design leverages technology advancements that revolutionized the camera sensor industry and brings them to the high-performance lidar industry for the very first time. I simply can't wait and bail it to our customers as planned later this year.  09:09 Another benefit our digital roadmap is our ability to ship continuous over-the-air software updates to all of our customers, which introduce features that expand our ability to any additional opportunities across our TAM. Since the introduction of our first OS sensor we have released five firmware updates. Our latest firmware introduces new features and make our sensors more adapted for remote applications, including data flexibility for faster, more efficient edge competing. We expect these updates to also benefit industrial customers who are accustomed to process limited data from legacy 2D lidar sensors, but are eager to adopt high resolution 3D lidar to improve safety and performance capabilities.  09:52 We continue to invest in building out a best-in-class software development experience that serves as the foundation of our entire software ecosystem. We recently released an updated version of our software development kit or SDK for lidar and continue to see tremendous customer adoption with hundreds of downloads each month. 10:12 Again, this is an important tool that accelerates our customers' time to autonomy, enabling them the test and validate our sensors faster and bring their applications to market sooner. This year we expect to release more products from hardware and software than ever before. Advancements with our DS Series for automotive, L3 chip, software ecosystem and industry certifications are expected to be major catalyst for digital lidar adoption across our four targeted industries. And directly contribute to our growth this year and beyond.  10:45 I'd now like to turn the call over to our CFO, Anna Brunelle to provide a full update on our Q1 2022 financial results and business outlook.
Anna Brunelle: 10:55 Thank you, Angus. We made substantial gains over the course of 2021, nearly doubling our revenue over the previous year. We continued our momentum in the first quarter of 2022, recording our second highest quarterly revenue of $8.6 million, up 29% over the first quarter of 2021 and aim to double our revenue again in 2022. We shipped 1,550 sensor, a 58% increase over the first quarter of 2021 and produced a record 4,368 sensor, demonstrating our ability to scale to meet market demand.  11:35 As discussed during our earnings call for the fourth quarter of 2021, we expected some revenue variability in the first quarter and remain confident in our commercial pipeline for the year and our ability to continue to win deals and head to head competition across each of our four vertical. 11:55 We delivered gross margins of 30%, up from the 26% gross margins recorded in the first quarter of 2021 and in line with the 30% gross margin recorded in the fourth quarter of 2021. Our proven manufacturing and operations team continue to secure our source material and scale production of our OS sensor despite headwinds from continued supply chain challenges. 12:22 Over the course of the first quarter, our average cost per unit sold was up slightly from the fourth quarter of 2021, primarily due to lower absorption of overhead cost per unit. However, similar to the trend shown throughout 2021, we expect our average cost per unit sold will continue to decline faster than our average selling price as our sales volumes continue to increase. 12:49 We believe Ouster has the highest hardware gross margin profile of our public lidar peer group, validating our leading cost structure associated with our CMOS digital lidar architecture, which enables high scalability and both performance and cost.  13:07 Over the last quarter, we converted additional pre-production and production level customers through strategic customer agreement or SCA's. To date Ouster has signed 72 SCA's representing over $550 million in contracted revenue opportunity through 2026. While we remain excited about large customer deals in our pipeline, timelines and uncertainties exist, customers are still learning their ramp grades, which can impact the timing of purchase orders quarter to quarter. We continue to improve predictability into our customers' needs and timelines as we grow, such that the timing of orders will have a smaller impact on our quarterly results as we scale.  13:52 We believe our diverse group of SCAs exemplifies the success and the importance of our multi-market approach, as Ouster is not dependent on a single or small handful of customers or even one market vertical with revenues expected to ramp in 2025 and 2026, but rather on both auto and non-auto opportunities that offer revenues and attractive margins in both the near and long term.  14:22 Our capital allocation plan continues to focus on three key area. To accelerate our product roadmap, to expand our software offering and to build out our global sales and marketing teams. These initiatives will support our aim to at least double revenue growth this year, increase our market share across our four market verticals and continuing to extend our technical advantage over our peers. 14:50 We continue to ramp our commercial engine and sales pipeline over the first quarter and subsequently shipped new software update with the release of the new firmware and software development kit, and made headway towards the future release of our own verticalized software solution. We also shipped our first digital flash Series A samples, achieving a major milestone within our strategic development agreement with our global auto OEM partner as we advance towards automotive readiness for series production starting in 2025.  15:27 We were able to make these strategic investments, while maintaining a cash balance of approximately $163 million at the end of the first quarter. Following the close of the first quarter and as described in our 8-K, Ouster further strengthened its financial position with a $50 million term loan with no dilution to equity holder, including immediate access to $40 million in cash and a potential additional $10 million in 2023, subject to satisfying certain conditions. 16:01 With this step, we are putting in place corporate finance best practices to ensure access to capital as needed. In the first quarter, we added 90 new customers and expanded sales to existing customers in line with the three major market trends playing out across our target industry. The shift to electrification, advanced safety and autonomy in automotive, the automation of our global supply chain and industrials and the widespread investment in privacy, safety and efficiency of our day-to-day lives and smart infrastructure.  16:41 While we continue to execute on our DF product roadmap and advanced negotiations for automotive series production program starting in 2025, we have a rich automotive business to date across robo-trucking, robo-taxi, shuttles and buses. In 2021 we shipped 34% of our sensors within the automotive vertical, which represents a $1.9 billion total addressable market by 2025.  17:10 In the first quarter we shipped sizable orders to multiple trucking customers, both upfront and OEM's in the US and Europe, as well as the autonomous bus, shuttle and robo taxi customers in the US and Asia. Within automotive, Ouster is emerging as a leader in robo trucking with customers like Plus.ai and Torc Robotics and other large trucking OEM's. And we expect this sub-market to continue to be a primary driver of growth through 2022.  17:41 There are approximately $12 million freight tracks in the world, of which approximately 10% need to be replaced annually. Customers are already deploying production place today and are using Ouster lidar to bring L2 plus autonomy features to freight delivery trucks on our highways saving fuel and other costs for end customers.  18:06 Within industrial and robotics, we are benefiting from macroeconomic trends as companies take steps to automate their supply chain to increase productivity and solve for a lack of skilled labor in the market. We saw significant demand from the material handling market in the first quarter of 2022, especially for warehouse automation where we signed new SBA customers and booked large spot buy. We also continue to expand our commercial traction in off-highway vehicles for mining and agricultural applications, as well as collision avoidance systems for railcars.  18:42 And finally, we saw a significant uptick in the adoption of lidar for more greenfield robotics applications across the supply chain, such as drone and rail based inspection system and volumetric monitoring solutions for raw material. Based on our current pipeline, we expect warehouse automation, port and logistics automation and raw material processing applications for mining and agriculture to be the major growth drivers in 2022, within the industrial and robotics vertical.  19:16 We continue to gain market share in the existing $1 billion market for legacy industrial sensors as we further displace high cost 2D laser safety standards and other legacy sensor making this as one of the largest near term and fastest growing opportunities for digital lidar. The warehouse automation market is just in its infancy and already generating millions in revenue for our business. The market opportunity is estimated at over $15 billion today, as less than 20% of warehouses currently have any form of automation.  19:54 According to a recent report, the market for mobile robots is estimated to grow 10 times by 2030, driven by the sale of automated mobile robots which tripled from 2018 to 2020. Ouster is already working with customers, including large industrial OEM's looking to automate their own fleet and a large global company looking to invest millions into automating its warehousing operation. As well as a number of leading warehouse automation company, including Vecna Robotics, Third Wave Automation, ATI Motors and Balyo. These customers as well as our pipeline of future opportunities position us well to scale in line with market demand.  20:40 Turning the smart infrastructure. Last year we won 110 projects which represented nearly 3,000 sensors for initial deployments that have the potential to expand the hundreds of thousands of sensors. We continue to gain traction in the first quarter of 2022 through new deployment and project expansion in airports, highways, street and more, across Europe, the Middle East, Asia and North America. These include critical infrastructure security, traffic monitoring, connected vehicles, as well as speed enforcement applications. We expect the continued expansion of intelligent transportation projects in addition to crowd analytic application to be the primary growth drivers in the smart infrastructure vertical in 2022. 21:31 We also see a massive opportunity to disrupt the multi-billion dollar security market with our new joint security solution Ouster Accurate Vision, where incumbent technology benefit from the relatively higher ASPs and faster sales cycles. We expect the lidar industry to evolve in similar ways of the digital camera industry. According to a recent report by Yole, the market for digital cameras for security is the largest non-consumer digital camera market in the world, estimated at $32 billion in 2021.  22:09 Our growth over the first quarter across each of our critical, especially a handful of fast developing submarkets, such as robo trucking, warehouse automation and intelligent transportation system reinforces our ability to capture market share within the $8.6 billion total addressable market expected by 2025. Our differentiated technology backed by a leading cost structure and our multi-market approach position Ouster to take advantage of both near and long-term revenue opportunities and continue to gain market share. 22:44 The fundamentals of our business remain unchanged, our bottom up analysis based on sales pipeline, bookings and commercial expansion plans, coupled with major product announcement planned for later in the year provides a commercial path to deliver on our full-year 2022 guidance of $65 million to $85 million in revenue and 25% to 30% gross margin. Which we expect will follow a similar trajectory to 2021 with larger customer orders and shipments hitting in the second half of the year.  23:18 I'd now like to turn the call back over to Angus.
Angus Pacala: 23:21 Thanks Anna. Essential to driving digital lidar adoption in each of our verticals is a desire to improve safety and quality of life, while increasing efficiency, sustainability and equity. Applications powered by digital lidar have the potential to do just that. Our technology is already creating safer conditions for miners and among OEM, engineers at nuclear facilities in Europe and on roadways in the United States and abroad. 23:49 Lidar can help reduce traffic congestion to minimize greenhouse gas emissions or monitor critical infrastructure like railways and power lines. These are just a few of many examples. At scale, the positive impact we can have on society is enormous and starts at home with the actions we take as a company. 24:08 Earlier this year Ouster announced a sustainability program predicated on the founding principle of our company, to innovate and deliver technologies that lead to safer and more efficient vehicles, transportation networks, workplaces and infrastructure for more sustainable and prosperous communities. 24:27 We have formed an internal advisory committee to guide our sustainability program and look forward to reporting our efforts and impact for 2022. In closing, our increased customer traction across each of our four verticals in critical product development, combined with further capital flexibility position Ouster to drive near and long-term revenue growth. We believe digital lidar is uniquely positioned to power societal transformations and become an indispensable part of our day-to-day lives.  24:55 With that I'd like to open it up for Q&A.
Operator: 25:00 Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] Our first question will come from the line of Tristan Gerra with Baird. Please go ahead.
Tyler Bomba: 25:25 Hi, this is Tyler on Tristan. Thanks for taking the questions. First, in light of some supply chain constraints how are you seeing car OEMs projected timelines for the ramp of the lidar industry? Are you seeing any push outs or is everything on track with your prior timing expectations?
Anna Brunelle: 25:45 And I'm sorry Taylor. I have a little bit of trouble hearing you, did you say car OEMs?
Tyler Bomba: 25:51 Yeah, the car OEM's.
Angus Pacala: 25:55 Yeah, I can take that. Thanks for the question. So I guess if this is a question around the broader industry. Then I think that there is always a subset of companies that are going to fall behind their initial projections, this is not something that is historically true if you look at the at automakers releasing any new technology, but there's also a subset that are still moving forward. And I’d say, the majority of the industry is still moving forward very aggressively into autonomy and lidar. And so, what we see from our conversations is our real effort to stick to their autonomy and electrification strategies and not let any kind of budget restrictions affect that, because it's so core to the business in the future kind of competitiveness of automakers at this point.
Tyler Bomba: 26:49 Yeah. Great. For my follow-up, how should we look at your mix by end market this year? I know you talked about some of the growth drivers for each of your end markets, but how should we think of the next, do you expect any material changes from last year? 
Anna Brunelle: 27:05 I think we are -- we did 34% of our revenue in automotive sector last year and I think that continues to drive a lot of our growth going forward. And we saw the remainder kind of split evenly between the robotics and industrial verticals where we're also still seeing more traction, but I think as I highlighted in my prepared remarks, we're really excited as well about the smart infrastructure vertical this year, which is about 15% last year and that's primarily around, as we said, the 110 contracts that we signed previously that are still continuing to develop and add to our projected revenues this year.
Tyler Bomba: 27:48 Okay. Thank --
Angus Pacala: 27:50 Yeah. Just to add a little more color there. Just to add a little more color there. Smart infrastructure, we come back to again and again, because it's -- really it's the true greenfield opportunity for lidar. The other verticals we're operating in, there's a lot of understanding and use of legacy lidar systems. And -- but in smart infrastructure there is kind of unbounded opportunity, because it's a new use case for lidar and there is such a huge market existing there on digital cameras, almost $32 billion of digital cameras sold just in the security, not even talking about smart infrastructure or traffic management or crowd analytics.  28:30 So, absolutely we see things progressing as is, but that's the safe that with roughly equal distribution across verticals, but there is immense potential that we may tap into in smart infrastructure also beyond what we're talking about.
Tyler Bomba: 28:51 Great, thanks for that additional color.
Operator: 28:53 Our next question will come from the line of Brian Dobson with Chardan capital markets. Please go ahead.
Brian Dobson: 28:56 Hi, thanks so much for taking my question. So you pointed to gross margin being up 300 basis points on stronger average sales prices, and you alluded to navigating supply chain issues. Could you just give us a little bit more color on what was driving that pricing power in the quarter? And how you expect pricing to evolve through the balance of the year.
Anna Brunelle: 29:24 Yeah, I mean I think we talked a bit about that. We has several new customers entering our pipeline in Q1. And as a result of that, that tend to list our ASP's and I think going forward, we've said that we expect ASP's to fall as we are able to lower our COGS. As we ship more volume. So, if you recall, our cost of goods sold are primarily based on volume increases. We expect to see constant margin improvement as we sell more and more volume and that's just based on our digital architecture. And so we are expecting kind of further improvements to the product line to get to the cost structure that we're anticipating, it's mostly coming from these volume improvement. 30:13 And so over time, historically and into the future we expect that will continue to drop ASP's in line as our COGS drop. And so that gives us a lot of kind of predictability into the business.
Brian Dobson: 30:24 Great, thanks very much. And then you mentioned that customers are still learning their ramp rates and that impacts the timing of quarters, you're expecting more sales in the back half of the year, can you just walk us through the quarterly cadence as you expected.
Anna Brunelle: 30:43 Yeah, I mean I think we are really excited about the guidance that we've given, we guided to $65 million to $85 million in revenue, which is nearly a doubling of our revenue over prior year, even at the low end of that guidance. And I think when we talk about what we're anticipating over the quarters, we haven't given quarterly guidance historically, but I think that you can see that there have been trends in our business over the last couple of years, so we tend to have really strong fourth quarters. And so, I think looking forward, what's really important here is that, our guidance is based on our bottoms up pipeline projections. 31:23 So our pipeline supports our guidance. We have over 600 customers, we've signed 72 Strategic Customer Agreements now where we're getting three and five year forecast from our customers. And so, it's really important that you understand the bottoms up projections are supported by those customers in that pipeline. And so I think we're just expecting a similar trajectory to last year where we're seeing many of our larger orders hitting in the second half of the year.
Brian Dobson: 31:53 Excellent. Thank you very much for the additional color.
Operator: 31:58 Our next question will come from the line of Sam Peterman with Craig-Hallum. Please go ahead.
Sam Peterman: 32:04 Hi guys. Thanks for taking my question. I appreciate all the color in the prepared remarks, I did want to ask on the quarter you just reported. Obviously, revenue is below the fourth quarter and below, kind of what you were anticipating. It's still not very clear to me kind of what drove -- I know you mentioned seasonality, if you give any thoughts on kind of where you saw weakness, either in terms of end market or with any supply constraints or anything like that. Just curious what you saw in the first quarter, the lidar revenues being down a bit.
Anna Brunelle: 32:43 Yeah. I mean, I don't think that we saw any weakness in any areas and certainly we haven't lost any kind of head to head deal, major deals with customers. I think when we talked about our projections for 2022, when we gave our fourth quarter earnings update we did say that we expected some variability going into Q1. 33:05 And so, I don't think anything fundamentally has changed in the business. We're still seeing kind of -- we're still signing up new customers, we're still seeing them progress through the pipeline and we get three to five year forecast for many of our customers. And so, yeah, I just -- I don't see any fundamental changing in the business. I think we're really excited about the growth we're seeing in the customers we are working with.
Sam Peterman: 33:34 Okay, fair enough. And then I wanted to follow up on the topic of obviously your sales guidance for the year, kind of asking it in a different way. Obviously, the quarter-over-quarter increases and we acquired a pretty substantial dip to that midpoint guidance. And you mentioned a couple different factors, bookings, your sales pipeline, upcoming products, etcetera. So I just wanted to ask if you could give any color around what end markets are going to drive strength? And how much of that outlook that you have is booked versus -- your line of sight versus you expect to be spot buys any kind of color on your level of visibility at this point would be helpful.
Anna Brunelle: 34:26 Yeah, I mean I think we highlighted in our prepared remarks some of the growth that we're seeing around -- in automotive, for example, around the robo trucking industry where we're really emerging as a leader and we're working with several large customers there that gives us a lot of predictability in that submarket. 34:44 And then, on the supply chain automation side, if we talk particularly about warehouse automation where we're signing SBA customers and booking some large spot buys, we continue to see traction in our highway vehicles for applications like mining and agriculture, etcetera. And then, I think also on the Smart Infrastructure side, Angus had given some color earlier in response to a question where we're just seeing additional new deployments and project expansions in 2022 in airports, highways, streets, etcetera. And we're seeing that kind of worldwide across all of our geographies. So I think we remain very excited about this year.
Sam Peterman: 35:27 Appreciate the color. And I'll jump back in queue.
Operator: 35:32 [Operator Instructions] Your next question will come from the line of Andre Shephard with Cantor Fitzgerald. Please go ahead.
Andre Shephard: 35:40 Hey, good afternoon guys and congrats on the quarter. Can you hear me okay?
Anna Brunelle: 35:46 Yes.
Andre Shephard: 35:48 Thank you. Most of my questions have been asked, but maybe to follow-up on the last one there in terms of revenue, right? So with $8.6 million revenue for the quarter, to get to the midpoint of the guidance, which was reaffirmed today, let's call it, $75 million, that leaves about $66 million or so in revenue for the year. So I'm just wondering should we account for the seasonality? Do you expect a bit of like a ramp-up period or is most of the revenue expected in the later quarter? Just a little more color there would be helpful.
Angus Pacala: 36:31 Yeah, I can step in and answer it a little bit differently. So, first and foremost, we have bottoms up revenue pipeline that is -- that supports our guidance for the year, but it's absolutely item-by-item, customer by customer, opportunity by opportunity. That's why we're reaffirming guidance, because we have the opportunities to support it and we are winning those opportunities. So nothing fundamentally changed about the business. We see the business growing and we're reaffirming guidance because of that data, if nothing else. Obviously we are growing the business and we've said that there is going to be a ramp that looks like last year in the second half of this year as well. 37:17 It's just part -- it’s part of doubling revenue year-over-year. The back half of every year is going to be back weighted. But then, there's also potentially some seasonality that we're seeing with customers placing very significant orders and receiving shipments at the end of the year. And then in terms of contribution split by vertical, right now we see roughly equal contribution from the four verticals. And I don't seen the -- last year over the 34% of unit shipped into automotive, with about 20%, 25% for industrials and robotics and about 15% of units shipped in the smart infrastructure. And I don't see a significant deviation from that, may be plus or minus 10% of shuffling between the verticals for this year just depending on which orders they went. So I want to make it abundantly clear, there's a reason why we're reaffirming guidance, we understand there is a significant ramp that happens. But we got the data and we clearly are able to ship against that, we're doing great on the manufacturing side.
Andre Shephard: 38:20 Got it, thanks. Angus. Now, that's very through. I appreciate it. Maybe my quick follow-up is, in terms of the margins, which I know has been asked a little but already. With 30% margins for the quarter, you're already at the top end of your guidance. And you've mentioned that you kind of anticipate maybe those margins to improve. So I'm wondering is that 25% to 30% gross margin guidance, is that all of a sudden may be conservative?
Anna Brunelle: 38:57 [Multiple Speakers] I think you're right. Go ahead.
Angus Pacala: 39:02 I'm sorry. Yeah, I think we said in our Q4 earnings three months ago that we were giving ourselves some headroom in our guidance on margin in case of further disruptions in the supply chain. At the time we don't want to -- we never want to be in a position where we have to decide between hitting our margin guidance and shipping to customers, right, and maintaining our continuity of supply. 39:28 So there may be some upside there, but what we've said is, we don't really going to built into two models, because we retain the right to hit the guidance which means falling within that range if we need to keep shipping.
Andre Shephard: 39:46 Got it. Thanks again Angus and Anna, congrats again on the quarter. I'll pass it on.
Angus Pacala: 39:52 Thanks.
Operator: 39:52 And this does conclude our question-and-answer session. I'd like to turn the conference back over to Angus Pacala for any closing remarks.
Angus Pacala: 40:02 No. Thank you all for tuning in. We're really happy about the year started and we're looking forward to the growth that we're seeing in the business. Thank you all.
Operator: 40:13 Ladies and gentlemen, the conference is now concluded. Thank you for attending today's presentation. You may now disconnect.